Operator: Thank you for standing by. At this time, I would like to welcome everyone to the Bullish Global Fourth Quarter 2025 Earnings Call and Q&A. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. Today's Q&A will be limited to one question. If you would like to withdraw your question, thank you. I would now like to turn the call over to Michael Fedeli, Vice President of Finance. You may begin. Good morning, and welcome to our fourth quarter earnings call.
Michael Fedeli: I'm Michael Fedeli, Vice President of Finance, and I'm joined on today's call by our Chief Executive Officer, Thomas Farley, Chief Financial Officer, David Bonanno, and Director of Corporate Development, Liam Foley. This call will contain forward-looking statements, including those relating to our expected performance and business opportunities. These statements are not assurances of future performance. They are subject to risks and uncertainties, and our actual results could differ materially. For more details on these risks, please refer to today's earnings press release and our SEC filings, including our prospectus dated 08/12/2025. We undertake no obligation to update or revise any forward-looking statements. This call will also include a discussion of non-IFRS financial measures. A reconciliation of these metrics to the most directly comparable IFRS metrics can be found in our earnings press release and presentation, which also contain additional information regarding non-IFRS financial measures and key performance indicators. I'll now turn the call over to Thomas Farley.
Thomas Farley: Thanks, Michael. Thanks, everyone, for joining our call, and good morning. It is great to be with you. I'm Thomas Farley, Chairman and CEO of Bullish. We have a lot to cover today. We closed 2025 with strong momentum and have continued to build on the vision we laid out during our IPO process and in the subsequent quarters. We focus on serving institutions, and we are winning a wave of institutional business in the US and globally. The next wave of digital assets growth is taking shape in the form of tokenization of real-world assets and the institutional adoption of blockchain technology. I believe this will be a huge twenty-year-long institutional flood powered by Bullish's purpose-built offerings. In 2025, we executed on our core objectives. We captured the first wave of traditional finance institutions flowing into the digital asset space. We scaled our liquidity services into an industry tokenization offering for issuers of stablecoins and other digital assets. We launched options trading in Q4 and scaled rapidly in terms of our market position. We locked down our tier-one licenses, including the New York BitLicense, MICA in Europe, and additional authorizations from Hong Kong's SFC and Germany's BaFin. And we achieved the key milestone of entering the public markets. We executed on a strong fourth quarter financially as well. We earned record SS and O revenue of $54.6 million, an increase of 284% year-over-year, and our adjusted EBITDA was $44.5 million, an increase of 55% from the prior quarter and 181% from the same period in the preceding year. While 2025 was a great year, I'm even more excited for 2026. For several years now, Bullish has intentionally positioned ourselves at the intersection of three strong ongoing trends that are driving digital assets evolution. Trend one is that increasing regulatory clarity is requiring infrastructure businesses like Bullish and their customers to operate in a compliant and responsible fashion. Trend two is that the number of traditional finance institutions operating in digital assets is increasing dramatically. And trend three is that tokenization use cases are expanding exponentially, including for major asset classes on the back of the successful tokenization of the US dollar via stablecoins. These trends happen sequentially, and now they're happening all at once, with each trend reinforcing the momentum of the others. We're hitting this inflection point here in 2026. In 2026, we are laser-focused on our top three priorities that position us at the intersection of these trends. First, we will continue our exceptional growth in our exchange, prioritizing growth in the regulated institutional derivatives market, as well as building our US presence for all products. Second, we will further establish ourselves as a clear market leader in the successful tokenization of real-world assets by scaling our liquidity services offering and widening our tokenization service and global regulatory footprint to meet the market's needs. And third, we will accelerate our already market-leading position in the digital assets indices and insight spaces. While the last four months have seen digital asset prices drop precipitously, our business continues to grow. And we were built to take advantage of opportunities created by volatility in bear markets as well. In fact, we believe that this current malaise will present promising opportunities to grow Bullish organically as well as through M&A. We are more convicted than ever that our institutional positioning is the right approach at the right time. The next big leg of digital assets growth will be driven by institutional adoption. During tough times like these, our strong balance sheet and solid reputation position us to bring on institutional clients that other less reputable or less capitalized firms simply cannot. In summary, we expect that Bullish can and will thrive in 2026 despite a rough macro beginning to the year for our industry. Shifting to the business update. In the fourth quarter, and sequentially over each month of 2025, we had all-time highs in monthly active customers and set records for total customer funds on platform and open interest for perps and options. The growth of active trading clients on our platform is accelerating around the world. In Europe, Asia, and the United States, we are seeing a wave of institutions onboarding that include notable broker-dealers, divisions of commercial banks, and the world's largest digital assets electronic communications network, for example, among others. The launch of options has attracted a whole new set of clients onto our platform. These new customers are now initiating trades across our spot and perps products as well. Honing in on the options launch, we went live on October 29. And the uptake in volumes and open interest has been remarkable over just about three months. By the end of the quarter, we were over $2 billion in open interest. And earlier this year, we hit a high of more than $4 billion of open interest, as well as reaching a high of 29% volume market share. We are now the clear number two Bitcoin options platform by open interest globally. The launch phase of our option strategy is complete. We are now focused on continuing to gain share and aspire to be the options trading market leader. Our tight spreads and one global order book continue to resonate with clients and set us apart from the competition. Our singular order book allows our institutional clients to cross-margin their spot, futures, and options positions in real-time and also to access deep liquidity. We have reacted to client demand and are proud of the progress we have made in the short time since launching. We're also continuing to add to our regulatory toolkit. We're now registered to act as a transfer agent. And we're actively exploring other licenses, including DCO, DCM, broker-dealer, and ATS licenses in the United States to help enhance our positioning in the multi-year tokenization megatrend. The ability to gain broad regulatory access throughout the world is a feature of our business model that we believe is rare in our industry and is only becoming more important over time. We intend to list tokenized securities here in 2026, and we're working with the market and regulators to successfully execute on this objective. We look forward to keeping everyone updated on progress throughout the year. Speaking of tokenization, our liquidity services business continues to find new use cases and deliver exceptional value to our partners. We believe the service is tailor-made for tokenization, and we are increasingly seeing demand from asset issuers tokenizing real-world assets. To take a step back, imagine you're a tokenized asset issuer. To launch that token, you'd need to design the token, write the smart contract code, possibly perform KYC and AML, and hold a whitelist and finally, tabulate ownership. The good news is that you've tokenized your asset. The bad news is that that was the easy part. For your token to truly be a success, there are several value-added services that you still require. First, you must get the token listed. The listing is typically unregulated and unregulated venues. Second, you must ensure a two-sided marketplace with ample liquidity to allow for efficient trading. Third, you must ensure that the token is being marketed properly and is amply visible to the broader market. High-caliber assets also tend to have research reports. Research analysts, dissimilar from many of our friends I hear on this call, help investors better understand the asset, its value proposition, and its potential. Bullish is now powering our partner's growth with the listing, liquidity, marketing, and now research that they need to maximize their success. These value-added services are required both for tokenization of real-world assets such as dollars in the form of stablecoins, as well as tokenization of other financial market products. We remain exceptionally pleased with the growth of liquidity services for all of these types of customers. In Q4, we added IOTA, VeChain, Paxos, and Midnight. We've also added Canton, the token for the real-world asset-focused chain. And earlier this year, USDAI, the first decentralized credit protocol that connects stablecoin liquidity directly to real-world compute cash flows. Looking ahead, our pipeline remains strong. We continue with a rapid new listing pace, expecting to list five new partner assets, including Fidelity's new stablecoin in this week alone. When major financial institutions, stablecoin issuers, and other digital clients choose a partner for liquidity services, they gravitate to Bullish because we are the only solution of its kind in the market offering, listing, liquidity, marketing, and research. Shifting gears to our information services business. CoinDesk indices completed a breakout year. We served as benchmark data provider for 30 different single token ETFs launched in 2025, and we're especially dominant in the fourth quarter, listing 15 of the 39 new digital asset ETFs brought to market. We're winning mandates from top-tier issuers like ARC and ProShares, and we're well-positioned to win license agreements for upcoming single token ETFs from other major traditional finance players. Next week, expect Intercontinental Exchange or ICE to launch a series of futures benchmarked to our CoinDesk indices. This includes cash-settled futures tracking the CoinDesk 20, CoinDesk five, and five single token indices, including Bitcoin, Ethereum, Solana, XRP, and we believe the first regulated exposure to BNB in the US markets. This partnership will better help us integrate our leading digital assets capabilities with ICE's traditional finance customers. On the insight side, CoinDesk Insights is among the most recognized brands in the digital asset space, and we've continued to leverage this notoriety to better cross-sell our top customers and drive our flywheel of organic revenue growth across all layers of our business. Our research solutions are also growing since the Q3 2025 launch. And we have had nine distinct customers pay for our research in the fourth quarter alone, our first full quarter of offering this service. I'm also excited to quickly touch on Consensus Hong Kong, due to occur next week. The lineup is terrific. The exhibition floor is packed. Enthusiasm around the event is sky-high. We have over 300 side events around Hong Kong, and we have several notable Hong Kong officials, including Honorable John Casey Lee, the Chief Executive of all of Hong Kong, and key partnerships with Solana and Salt. We see this event as an opportunity to drive additional business to Bullish and believe it will serve as an accelerant for our sales pipeline in Asia. With that, I'll turn it over to David Bonanno to discuss our financial performance and business drivers.
David Bonanno: Thank you, Thomas. Good morning, everyone. I'm David Bonanno, CFO of Bullish. This morning, we published Bullish's preliminary fourth quarter and full-year 2025 financial results covered in our 6-K filed with the SEC, as well as our earnings release, investor presentation, and January's monthly exchange metrics found on our IR website. We plan to publish our full-year 2025 Form 20-F in early March. As a reminder, reconciliations of our non-IFRS metrics can be found in today's earnings presentation in 6-Ks. Turning to today's financial results. Adjusted total adjusted revenue for the full year and fourth quarter 2025 were $288.5 million and $92.5 million, respectively. Representing approximately 35% full-year growth and nearly 70% growth in the '25 versus the 2024. Fourth quarter SS and O revenue of $54.6 million exceeded the high end of our previously provided guidance and brought full-year 2025 SS and O revenue to $157.7 million, up nearly 160% from 2024. Fourth quarter adjusted operating expenses were $48.1 million, roughly flat from the prior quarter and at the bottom end of our guidance, resulting in 4Q '25 adjusted EBITDA of $44.5 million, a record high 48% margin and nearly half of the full-year 2025 $94.3 million in adjusted EBITDA. Finally, our adjusted net income in Q4 was $28.9 million and $38.8 million for the full year 2025. Before I turn to our 2026 outlook, I want to take a moment to highlight a partner whose services illustrate the types of exciting new tokenization on-chain capital markets innovations enabled by blockchain technology. USDAI's DeFi platform and tokenized dollar product allow users to invest directly into a pool of tokenized treasury bills and fully secured GPU-backed loans with AUM currently exceeding $650 million. These loans benefit from traditional credit protections, afforded to secured creditors such as perfected liens and third-party collateral verification combined with full on-chain transparency and reporting. USDAI's products and services are bringing new investment alternatives directly to consumers and have established clear product market fit for this emerging asset class. As USDAI and other innovators are bringing new assets and investment opportunities on-chain, we believe Bullish's full suite of services will continue to remain indispensable for our partner's success, and we look forward to continued collaboration with USDAI in the future. Now turning to our 2026 guidance. We expect SS and O revenue between $220 million and $250 million and adjusted operating expenses between $210 million and $230 million. We are not providing full-year adjusted transaction revenue guidance and instead encourage investors to review our monthly exchange metrics such as this morning's January release. As previously mentioned, our adjusted transaction revenue can be volatile, and we need look no further than the month of February where we've already exceeded 50% of January's entire adjusted transaction revenue. I encourage everyone to continue following our monthly exchange disclosures to track our progress throughout the year. Turning to our SS and O revenue guidance. The midpoint of the range reflects approximately 50% year-over-year growth driven by a combination of expected positive tailwinds from continued strong momentum across all our business lines, including steadily increasing tokenized RWA liquidity bookings as we move through the year, as well as expanded and more intelligent cross-selling, pricing, and product development throughout the entire organization, partially offset by unfavorable comparable market conditions for asset prices and interest rates as compared to 2025 and selective sunsetting of older liquidity service products as we continue optimizing resources for margin expansion. For adjusted operating expenses, the midpoint of our guidance reflects low single-digit growth in our existing cost structure plus incremental expenses associated with moving our flagship Consensus North America conference to Miami from Toronto, as well as new performance-based incentives designed for and triggered by very specific growth outcomes generated by our Salesforce as well as exchange participants. And finally, 2026 finance expense is expected to be between $52 million and $60 million, which is flat to slightly down from the fourth quarter run rate. We appreciate everyone's time this morning. And with that, I'll turn it back to Thomas Farley for closing remarks.
Thomas Farley: Actually, we're gonna open it up for Q&A.
Operator: And your first question comes from the line of Owen Lau with Clear Street. Please go ahead.
Owen Lau: Good morning and thank you for taking my questions. Going back to your 2026 SS and O guidance, could you please talk about your key assumptions? What are the variables that can get you to the high end versus the low end of your guidance range? Thanks a lot.
David Bonanno: Thanks, Owen. Good to hear from you. In terms of the key factors influencing the SS and O for 2026, I laid them out in my prepared remarks. You know, for potential upsides, we would expect that swift and effective passage of an infrastructure bill here in the United States will unlock and accelerate our pipeline in the SS and O line item. Macro headwinds, we already highlighted. Those are baked into the guidance. And we think that the range reflects a good conservative mix of the expected outcomes both from an idiosyncratic regulatory and market-based perspective for 2026.
Operator: Your next question comes from the line of Brian Bedell with Deutsche Bank. Please go ahead.
Brian Bedell: Great. Good morning. Thanks for taking my question. Maybe just also focusing on SS and O. Can you talk about the contribution from the Consensus conferences that you're expecting within the SS and O revenue this year? And just a little bit more on the tokenization of real-world assets, the progression of that during the year. And I don't know if you wanna just if I can layer on another one in there just on the USDAI maybe just a couple of use cases. To just better flesh that out in terms of, you know, how that might develop and contribute to SS and O during the year?
David Bonanno: Yeah. Sure. Thanks. Appreciate the questions, Brian. With regards to the Consensus events in SS and O, we expect those events to both be larger than they were in 2025. We also expect to continue expanding the way that we use the Consensus conference and franchise to fuel the growth of our remaining business. We often use that as additional product to help serve our partners and give them visibility and visibility around their products and key leaders. We expect that part of our SS and O to continue to grow, but it's probably at the lower end of all the rates within that bucket.
Thomas Farley: How do we expect tokenization to roll out in terms of SS and O? Sure. Yeah. In terms of the tokenization, within SS and O, Brian, as we announced this morning, we signed USDAI, which I'll touch on in a second. They're an example of just one type of tokenization partner. Again, I do think the Clarity Act and the infrastructure bill getting passed will unlock and rapidly unlock a new wave of potential customers across all of our different products. We are seeing that in the international market already. We do expect to get regulatory approvals to list and trade and provide liquidity. Securities and other tokenized assets outside of the United States. But we believe that, hopefully, in the back half of the year, we'll have a positive outcome on the market infrastructure bill as well as being able to improve our and expand our regulatory footprint here in the United States, specifically around RWAs and tokenized assets. And just to add one thing to that, Brian. You know, if you remember, our liquidity services business came about in 2023, and it came about because this concept of tokenizing the dollar was really gaining steam. You go back to 2022, there were only a handful of billion stablecoins in the world. And fast forward to today, there's $3.3 trillion. And so people like Ripple and PayPal were coming to us saying, hey. Creating the token is the easy part. Although they would solicit our feedback and advice on perhaps how best to design the token. But do you have any tokenization services that you can offer that will make this thing a success? And that's the business that we built. We chose to call it liquidity services. Could have very easily called it tokenization. But in those days, that was not a buzzword like it is today. As I mentioned in my prepared remarks, the easy part is designing a token, choosing the so-called tokenomics, how many tokens will you have, who will own them, so on and so forth, and writing the smart contract code. I mean, we have dozens of great developers here in Bullish that write smart contract code. That's not a complicated concept. The hard part is making the thing a success. So we are already in the tokenization business. This is what I referred to. We're listing these products. We're providing liquidity for them. We're doing marketing. We're now writing research. So answering your question specifically, like, hey. How do you see tokenization rolling out in SS and O? It's already rolling out, and it's why this business has grown so dramatically and continues to grow. But now think about the future when you have, you know, I'll pick one at random. You know, the US equities market or the global fixed income market. Starts to move into this on-chain future, all of those same requirements still exist from the base level. Hey. Bullish, help us design this thing. Help us write a smart contract. Okay. Easy enough. But what about the hard stuff? Listed on a regulated venue? It's not easy to establish a regulated venue in the United States. In Europe. You have to be a credible player like we are with the balance sheet. You have to be compliant. You have to have a history of three lines of defense and real people you can put in front of a regulator. So that business, we're already in it today. We are already a market leader today. And the industry is going to grow hugely. And the way we're thinking about evolving our product offering is to be able to meet the needs of the market in that eventuality.
Operator: Your next question comes from the line of Rayna Kumar with Oppenheimer. Please go ahead.
Rayna Kumar: Good morning. Thanks for taking my question. I just want to ask about the Clarity Act. Could you comment where Bullish stands on the Clarity Act and what your thoughts are on some of the key provisions, including tokenization, DeFi, and stablecoin yields? And also, what do you think is the likely timeline for passage? Thank you.
Thomas Farley: Sure, Rayna. Thanks. Thanks for the question. Good question. Very relevant. I've spent a lot of time in Washington. I'm not a market prognosticator in the same way. I'm not a legislative prognosticator. I'll give you my innermost thoughts, but don't hold me to them. It does feel like the bill is moving to passage. If you recall on the last earnings call, I was a little less optimistic. But having spent time in Washington, having met one-on-one with most nearly all of the US senators that are actively working on the bill on both Senate Ag and Senate Banking, it feels like there is a path. There's three key issues that require resolution. You hit two of them. And a third is the so-called ethics or conflicts of interest issues. Think of those as, you know, the Dems wanting to put handcuffs on the ability for the administration to be involved in crypto. Those three are all thorny for different reasons, but I see a path through for all of them. I think with respect to the yield question, the level of disingenuousness is almost befitting an SNL skit. Where all of the largest global banks in the world go down to Washington and then say, hey. We're really just here because of community banks. And protecting community banks, which, by the way, represent about 11% of total deposits in the US. God forbid, we would allow exchanges and intermediaries to pay yield because these community banks would be significantly impacted. So I don't think this is really about the community banks. I think it's a competitive issue. But I think there will be a negotiated settlement through this or negotiated agreement through this that all sides can live with. The second issue around DeFi, the big issue to keep an eye on is what will the KYC and AML requirements be? For a DeFi platform? And that's the tough part because on the one hand, the DeFi folks just want to have zero KYC AML. And on the other hand, you know, the heavily regulated folks or the people who espouse heavy regulation want to tie the hands of DeFi entirely, which could really curtail innovation. Again, I think there will be a negotiated path through somewhere in the middle. And then on the conflicts of interest issues, I've spoken to the White House this week. I've spoken to offices of US senators. And also there, it seems like there's a couple of paths perhaps both sides can live with, but that perhaps is the thorniest of all the issues. Because of the potential for presidential politics, 2028 presidential politics to be in play. To put a timeline on it, truthfully, I have no clue, but I'm actually personally hopeful and even a little bit optimistic that it could be before the summer.
Operator: Next question comes from the line of Ken Worthington with JPMorgan. Please go ahead.
Madeline Delaiden: Hi, good morning. This is Madeline Delaiden on for Ken. Thanks for taking our question. To actually follow-up on the previous question, on market structure legislation, if the banks were to get their way, could you please discuss the impact if any, that intermediaries no longer paying interest on stablecoins would have on the industry, the stablecoin industry broadly, but then your stablecoin promotion business specifically as well? Thank you.
David Bonanno: Sure. Great to hear from you, Madeline. I appreciate the question. Given the prevailing text of the multiple markups we've seen so far, we would expect, should the final legislation land in either of those two camps, there would be minimal to really no financial impact on our liquidity services business. You'll note in there, there are specific carve-outs for people providing liquidity and other services to stablecoin issuers to receive rewards. And we believe that in any eventual outcome, our product will continue to thrive, and we're not expecting based on the likely potential outcomes we see from current drafting the legislation any negative impact that would occur to our stablecoin business at this time.
Thomas Farley: And if I could just add one note, Rayna had asked kind of what is the impact on Bullish. You know, we're broadly fine with the bill as it sits. Like, there's a whole bunch we would change in a perfect world. But it all kind of works for us. And the most important thing to us, frankly, is getting a bill passed because we've seen it. We saw it with the Genius Act where all of a sudden you had a rush of credible issuers of stablecoins that didn't want to get involved until there was kind of federal law that provides some sort of safe harbor. That's how we feel generally about structure. In fact, we think the absence of the market structure bill has probably contributed in some small to medium-sized way in the swoon in crypto prices. So first and foremost, we'd like to see a bill get done. But we have been warmly received, I will say, in DC as an honest broker. And I didn't know what to expect. If I'm candid, I personally have been out of the lobbying game now for kind of six or seven years. I had enjoyed that reprieve. But jumping back in, we've been received as an honest broker, and where we kind of saw flaws in the text, we've been able to influence changes that will result in better legislation.
Operator: Your next question comes from the line of Peter Christiansen with Citi. Please go ahead.
Peter Christiansen: Thank you. Good morning. Nice execution, guys. And, Thomas, great to hear that Bullish is at the table during some of these negotiations. Had a question about pipeline growth. Granted, we've had a lot of bouts of volatility in the crypto markets over the years. Just curious how you see the pipeline activity amassed during these periods of heightened volatility, and then just a quick follow-up. I think you mentioned M&A as a potential tool going forward. Is that scale? Is that capabilities, licensure? Just some color on that would just be a little bit helpful. Thank you so much.
Thomas Farley: Sure, Peter. I'll let David give his perspective on the pipeline as well. The build in the pipeline has been steady and consistent, and I would say, really starting with kind of early summer last year increasing. But look, I've been around markets for a while, and this is a particularly volatile period. And the price performance has been particularly disappointing. And so I, like you, am waiting to see does that continue. It wouldn't surprise me to see a little bit of a slowdown in terms of the size and the expansion of the pipeline. I mean, this degradation of prices across and it's not just crypto. Right? It's now it's software, and we all see what's happening in silver. Basically, anything risk-on has kind of seen serious price degradation. So it's possible that that will slow down a little bit. I would just say we're up to our eyeballs in being able to service the current pipeline. In fact, if there's a governor on growth for us at this point in our liquidity services business, it's been the ability to add new layer ones and new crypto projects because we have so many in the pipeline. So even if there's a temporary kind of slowdown in the build, that's something that will be fine for us. Financially speaking. Obviously, if that continued for a long period of time, that would not be a good thing. But in general, like, this tokenization thing, it's real, Peter. So if you're running, let's say, a major global prime broker or you're one of these global transfer agents or you're a CFD, a data repository somewhere around the world, you are working on this. You're getting involved in this. The money is being spent, and that is not stopping just because, you know, Bitcoin's down 40%.
David Bonanno: Yeah. And I just echo Thomas's statements. And we've been through a lot of volatility before in this industry. Think if you zoom out and you kind of look at our progress over the last year, you know, the combination of the license footprint expansion, notably MICA, SFC, New York BitLicense, and US Access combined with the launch of options in particular, which brought a new customer subset to Bullish, is all layered on top of each other in kind of rapid succession. To bring on, as Thomas mentioned, waves of new trading customers every metric of active customer has been hitting new all-time highs, literally, as we said in the prepared remarks, every single month over the course of the year. With, you know, this year looking like no exception. So, you know, we'll see how long the volatility and bad price action persists. But underneath the hood, we're seeing strong, strong continued growth. And, frankly, looking at our internal metrics, you wouldn't be aware of the external environment.
Operator: Your next question comes from the line of Brett Knoblauch with Cantor Fitzgerald. Please go ahead.
Gareth: Hi, guys. This is Gareth on for Brett. I was hoping we could dig in on SS and O revenue for the fourth quarter here. Could you maybe provide some color on the mix of revenue between services, liquidity, and events?
David Bonanno: Sure. Appreciate the question. Yeah. As you know, we don't break out the internals of the SS and O revenue line item because we tend to cross-sell them very aggressively. And oftentimes, we will discount certain products or provide complimentary certain other products or find the right combination of products and services that meet the customer's demands and get the job to be done, completed for that partner. With regards to events revenue in the fourth quarter, I was actually mistaken on the last call. I had previously mentioned the fourth quarter had no events revenue. That was incorrect. There was events revenue in the fourth quarter similar to the amount that we had in the third quarter. Both of those were fairly de minimis. Given, you know, the seasonality of our events is focused in the first half of the year, and that probably will be the same trajectory in 2026.
Operator: Your next question comes from the line of Joseph Vafi with Canaccord Genuity. Please go ahead.
Joseph Vafi: Hello? Hear me?
Thomas Farley: Yeah. Hi. Loud and clear, Joe.
Joseph Vafi: Okay. Great. Yeah. Good morning. Sorry about that. Congrats on the execution here in the quarter, guys. Just would be interesting here with this macro what customers are saying about their crypto strategy? Digital asset strategies, tokenization strategies, you know, maybe tokenization, you know, moves forward as a value prop, but you know, as the asset class has kind of come in here, how are they thinking about it from your conversations with them? Thanks.
Thomas Farley: Hey, Joe. I wish I had new kind of new commentary, new profound commentary over and above what we already said. I'm largely gonna be repeating myself because I was just telling you what's on the ground, and I'm very involved with new business opportunities as is David. And there really is no change in tone. And I know that sounds ridiculous, because with each passing day, we're seeing, you know, the price of Bitcoin go down by several thousand. But I want to caution. I think it was Brett who asked the question before. I want to add a note of caution, which is this is happening in real-time, and I do think there is going to be some form of recalibration. Oh, just how big is my investment? In particular, from crypto-native types because a lot of crypto-native types look not dissimilar from Bullish. They own some crypto. So when crypto is down 40%, when Bitcoin's down 40%, they're feeling a little less eager to go spend a lot of money on the next new project. So I expect there to be some hiccups. Coming out of this period of extreme volatility, but it's really kind of breaking, and it's accelerated over the last couple of weeks. We have not detected any change of tone. The good news is on the tokenization front, I do not expect to see much moderation at all. Why? Because it works. Because it's not just the 24 by seven nature of it. In fact, that's just an interesting byproduct of it. It's the ability to lend and borrow assets much more simply. It's the ability to have an immutable ledger. It's the ability to have many fewer layers of intermediaries involved in the plumbing of global financial markets. It's the ability to allow and it's, you know, this people don't talk about this as much, but some brilliant 22-year-old kid to go build using the composable nature of public blockchains to go build some new novel innovative that enables lending, borrowing, exchanging risk. Exchanging titles, so on and so forth. That is independent from the price of Bitcoin. So we expect to see this market continue. We expect to see continued investment. But in some quarters, you know, I think there will be some form of a slowdown but unclear exactly what shape that will take. And for us, as I said, the pipeline is so full right now. In the near term, that wouldn't be something that would have a meaningful impact.
David Bonanno: Yeah. And, Joe, and I'd also just note that our institutional focus and focus on the highest quality assets in crypto, we believe, may make us a little bit more insulated from negative reactions to broader crypto asset prices. What we're seeing in our pipeline across the board is continued strong momentum onboarding, bookings, and activity. We think that's probably partially in part due to our focus on institutions, high-quality assets, and crypto's most liquid assets.
Operator: Your next question comes from the line of Ed Engel with Compass Point. Please go ahead.
Ed Engel: Hi. Thanks for taking my question. Just wondering, could you comment on maybe some of the progress you're seeing with the US launch and whether that's having any impact on volumes, whether it's in the fourth quarter or kind of your outlook for this year?
David Bonanno: Yeah. Great. Great question there, Ed. We, as you know, we only got our New York BitLicense about, you know, midway through the fourth quarter. And as we've previously explained and as I just referenced, our focus is on institutions, regulated entities, people handling customer funds, fiduciaries, that onboarding, testing, integration process, is a several-month process. That said, we do have several active trading customers here in the United States. And most importantly, our pipeline in the United States is the most dense pipeline we have by far of high-quality trading customers servicing customer flow for natural buys and sells. We expect that those types of customers have a duplicative effect, maybe even possibly more than that on our trading activity. Every time an uninformed order hits the order book, it results in at least one, two, three more trades that otherwise wouldn't have occurred. So we view the volume and activity that we will be generating out of the United States increasing throughout the year as more additive than dollar for dollar in terms of trading volume due to the high quality of customers we're bringing on. Thomas mentioned, we're having particular success here in the US with large retail brokerages. We particularly like those customers in the mix they add to our platform. So we're very excited about what the United States can bring to our exchange business.
Thomas Farley: We had a hypothesis that the US would be particularly fertile for us because there's a lot of firms that have broad retail and professional trader customer bases in other asset classes that are wildly successful. Tens of millions of customers in some cases. And many of those don't necessarily want to they want really great flow, and they want to do it with a partner who's not in competition with them. And they want to do it with a regulated partner. In other words, a partner that's actively seeking out, you know, in our case, exchange regulation all over the world. For brand reasons, they don't necessarily want to just be dealing, you know, with one-off counterparties. And that has proven to be true, and that is an excellent development for us. It just takes time. These are the same sort of people who are very careful about the partners they choose. You know, it's interesting. I thought our onboarding for customers was tough. The reverse onboarding that they are doing for us is even tougher. And so those things take time. But the beauty is once you've done that, and they've done the work to connect to you, and you've done the work to connect to them, and you've proven yourself a worthy counterparty. Those are, you know, decade-long or multi-decade-long relationships. So it feels good so far in the US. And as David said, the hope and belief, and this is already happening, but the hope and belief is that over the quarters ahead, you will see incremental volume, in many cases, coming from outside the United States. That is only happening because of this volume that originated inside the United States.
Operator: Again, if you would like to ask a question, press 1 on your keypad. And your next question comes from the line of Christopher Brendler with Rosenblatt. Please go ahead.
Christopher Brendler: Hi, thanks. Good morning, and thanks for taking my question. I wanted to ask a follow-up on the Options business. It seems like it's really hit the ground running, pulling up faster than I would expect it. I think it actually, you know, greatly exceeding sort of the expectations that were laid out at the IPO. So I just wanted to see, you know, your thoughts there on how much that can continue? The momentum in that kind of business, I would think, would, you know, sort of beget more volume. Like, the more liquidity you bring to your customers, the more likely they are to trade continue to trade with you. So, you know, how much bigger does the options business be in 2026 than your expectations were three or four months ago? Thanks.
Thomas Farley: No. Thank you. We took a little bit of a flyer on options. Basically, we looked at the data, and this was roundabout fifteen months ago. And we looked at the data, and what we saw was that crypto options was a tiny, tiny market relative to the rest of crypto. And we just said, hey. Pattern recognition, no matter where you look, you know, US equities, global FX, global interest rate swaps, you know, big markets, the options market in relationship to the linear market is always larger than it is in crypto. Sure feels like over time, it will grow. And so we started building that, and we saw that bear out in real time. So if you look at crypto options growth, over the last six months, well greater than the growth of the linear market. So that trend that we bet on actually came to fruition. But there were other competitors. There's kind of five or six notable competitors in crypto. And so we just said, hey. We're gonna do the best we can. We're gonna stick to what we know, which is to go after institutions in a regulated setting. But importantly, let's do it with one global order book. Let's do it with one account. So when a customer signs up with us, they don't have to hook the five different matching engines in different locales to trade different products. There's no confusion like that. Just write to our API or trade on our screen. In one account, you can have Spot, options, and futures. With one global order book. Order books don't like to be split. That's why the New York Stock Exchange for two hundred years, it was the only place you could trade, you know, Coca Cola stock. Markets want to occur in a single global order book. Because that's where you get the deepest liquidity. We stuck to our knitting. We built exactly that, and the exciting byproduct we got from that is it gets really easy to provide significant margin offsets where we're still protecting the sanctity of the clearing operation that we run. But because it's all in one global account, we can provide the maximum offset for the customer. So we have kind of ripped through the competition and, you know, we passed numbers six, five, four, three. We're now two. We hope and believe on our way to number one. Stay tuned. It's not a promise. But it's all moving in the right direction. Open interest is up to the right. Volumes are up to the right. Customer accounts are up to the right. And we think that this market, to answer your question directly in terms of growth, we think there's a lot of growth left, not just market share growth. In fact, we think that's a minority of it. We think it's more about options growth in crypto, which is still relatively immature.
Operator: There are no further questions at this time. I'll now turn the call back over to Thomas Farley for closing remarks.
Thomas Farley: Everyone, we believe we're at a turning point here for digital assets. Notwithstanding the extreme volatility, we're aware of that as well. Yes. But notwithstanding that or the cyclical nature, this vision of faster, better, cheaper, permissionless capital, it's happening. It's being unlocked, and we're seeing the examples. A market structure bill will only turbocharge that. We'll ensure that we bring all these global markets on-chain. And, you know, frankly, that's why David and I are here at Bullish. And that's why we're super excited, slightly less excited on days when, you know, Bitcoin's down by several thousand. But we came here for that vision, and we positioned Bullish for this moment. And so we hope you'll be there with us. And we appreciate you being on this call and listening to the story in what's clearly a hectic day. And a hectic couple of months here. Thank you, everyone, and have a great day.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.